Operator: Good morning. My name is Christy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Occidental Petroleum third quarter 2009 earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. If you would like to ask a question during this time, simply press star in the number one on your telephone keypad. If you would like to draw your question, press the pound key. Thank you. Mr. Stavros, you may begin your conference.
Chris Stavros: Thank you, Christy, and good morning, everyone. I would like to welcome you to the Occidental Petroleum’s third quarter 2009 earnings conference call. Joining us on the call from Los Angeles this morning are Dr. Ray Irani, OXY’s Chairman and CEO; Steve Jason, our President and CFO; also joining us are Bill Albrecht, President of OXY’s US Oil and Gas Operations; and Sandy Lowe, President of our International Oil and Gas Business. In just a moment, I will turn the call over to Dr. Irani to discuss some of the high points regarding the third quarter as well as the developing opportunities which we expect add to our growth over time. Steve Jason will then review our third quarter and nine months 2009 financial results, also talk about some of our recent acquisition activity as well as provide an update on OXY’s Kern County California discovery and our California exploration activity. Our third quarter earnings press release, investor relations supplemental schedules, and conference call presentation slides, which refers to these remarks can be downloaded off of our Web site at www.oxy.com. I will now turn the call over to Dr. Irani. Dr. Irani, please go ahead.
Ray Irani: Thank you, Chris, and good morning ladies and gentlemen. Thank you for joining us today. This morning, I would give you brief highlights of the few of the positive developments of OXY during the last quarter. Steve Jason will provide financial highlights and details shortly. Our worldwide oil and gas production for 2009 third quarter was nearly 7% higher than the third quarter last year. A significant portion of the domestic increase is from of our new discovery in Kern County California which we announced last quarter. In the new discovery area, we currently have gross production of approximately 26,000 BOE per day, which is 8,700 BOE per day more than we reported to you last quarter. We continued to be excited about OXY’s growth potential in California. In the third quarter, we also achieved production growth in the Middle East region, mainly from our operations in Oman and the Dolphin project. We continued to see opportunity in the Middle East, and it is a region in which we expect further growth. In the next few weeks, we will launch a joint operating company to manage the development and production of Bahrain field. As you know, with Bahrain’s National Oil Company, Mubadala of Abu Dhabi are teaming to dramatically increase the field’s oil production from 30,000 barrels a day to 100,000 barrels a day. In addition, gas production is also expected to increase 50% to 2.5 BCF during the term of the contract. OXY’s net proved reserve additions over the life of the project are estimated to be 450 million BOE. And as announced last week, OXY is part of an Eni-led consortium that has been awarded the license for the development of the giant Zubair oil field in Iraq. Iraq holds the world’s second-largest reveres of oil with about 115 billion barrels, second only to Saudi Arabia. Iraq officials have said that they plan to increase the country's oil production from the current level of about 2.2 million barrels a day to over 10 million barrels of oil. We are now one of the few companies on the ground floor of this world-class opportunity. The Zubair field has significant proven reserves estimated at more than 4.2 billion barrels and current production of 195,000 barrels of oil a day. Development of Zubair will be a multiyear multiphase project with production expected to reach that plateau of more than 1 million barrels a day during the next six years. We expect OXY’s net share of peak production from the field to be about 90,000 barrels a day. The Zubair project will give us the opportunity to learn, evaluating each phase of the project and give us the insight to effectively evaluate future developments in Iraq. We hope to expand our position over time and continue our involvement in Iraq while meeting our standards for security and rate of return. I will now like to turn the meeting over to Steve Jason to give you our third quarter and year-to-date financial results in greater detail.
Steve Jason: Thank you, Ray. Net income was $927 million in the third quarter compared with 2.3 billion in last year’s third quarter. Here is the segment breakdown for the third quarter. Oil and gas 2009 segment earnings were $1.5 billion compared to $3.6 billion for the third quarter 2008. The $2.1 billion decrease in the third quarter was due to lower crude oil and natural gas prices, partially offset by higher sales volumes and lower operating expenses. Occidental's average realized crude price in the 2009 third quarter was $62.79 per barrel, a decrease of 40% from $104.15 per barrel in the comparable period last year. OXY’s domestic average realized gas price for the quarter was $3.04 per MCF compared with $9.35 per MCF last year. Worldwide oil and gas sales volume for the third quarter 2009 was 628,000 barrels of oil equivalent a day, increase of nearly 7% compared with 588,000 BOE a day in the third quarter of last year. The increase includes, 22,000 BOE per day from domestic operations, 16,000 BOE per day from Oman, 10,000 BOE a day from the Dolphin, partially offset by 8000 BOE a day in lower volumes from Argentina. The domestic volume increases occurred in California and the Permian. The California increase is largely a result of new wells from the Kern County discovery the announced last quarter. The Middle East included higher production in Oman and higher production sharing volumes compared to last year’s third quarter. The Argentine decrease includes 9,000 BOE a day loss from the strike in Santa Cruz in the third quarter of this year. Third quarter of 2009 worldwide oil and gas sales volumes decreased 3% or 21,000 BOE a day from the second quarter of 2009 of 649,000 BOE a day. Dolphin volumes were lower by 10,000 BOE a day resulting mainly from higher catch-up cost recovery volumes in the second quarter. Argentina volumes decreased by 7,000 BOE a day due in large part to the Santa Cruz the strike. Qatar and Libya volumes declined by 8,000 BOE a day due to the timing of liftings. Midcontinent and Rockies volumes were lower by 4,000 BOE a day, which reflects a natural decline in gas production. California volumes increased 8,000 BOE a day, largely a result of new wells from the Kern County discovery. Exploration expense was $56 million in quarter, in line with our guidance of $50 million. Oil and gas cash production costs, excluding production and property taxes, were $10.27 a barrel for the first nine months of this year, a 15% decline from last year's 12 month cost of $12.13 a barrel. In the third quarter of 2009, oil and gas cash production costs were $10.15 per barrel, essentially flat with the second quarter of 2009’s run rate. Taxes other than on income were $1.75 a barrel for the first nine months of 2009, compared with $2.62 a barrel for all of 2008. These costs, which are sensitive to product prices reflect lower crude oil and gas prices in the first nine months of this year. In the third quarter of 2009, these taxes decreased to $1.73 a barrel compared to the second quarter of 2009 rate of $1.82 due to reductions in the 2009 through 2010 property taxes. Chemical segment earnings for the quarter of 2009 were $72 million compared to $219 million in last year’s third quarter. The third quarter 2009 results reflect the continued weakness in US housing, automotive, and durable goods sectors resulting in lower margins for caustic soda, polyvinyl chloride, and lower volumes for chlorine, caustic soda, potassium hydroxide, and polyvinyl chloride. Midstream segment earnings for the third quarter of 2009 were $77 million compared to $66 million in the third quarter of 2008. The increase in earnings was due to higher margins in the marketing business, partially offset by lower NGL realized prices in the gas processing business. The worldwide effective tax rate was 37% in the third quarter of 2009 compared with our guidance of 40% to 42%. Decrease in rate reflects tax benefits resulting from our relinquishment of international exploration contracts and a higher proportion of expected total year domestic source pretax income. Occidental generally records no tax benefits on foreign expense to exploration until the lease is relinquished. Now let me turn to OXY’s performance during the first nine months. Net income was $2 billion for the first nine months of this year compared to $6.4 billion last year. Capital spending for the quarter of 2009 was $746 million and $2.6 billion for the first nine months. We currently anticipate total year 2009 capital spending to be $3.7 billion, $100 million increase from our last estimate is allocated to domestic oil and gas operations. Portions of the increase will be used to complete 130 previously drilled wells in the Piceance Basin. This work will be completed by the end of the first quarter of 2010 and expected to add about 40 million a day to our production. Cash flow from operations for the nine months of 2009 was $3.8 billion. We used $2.6 billion of the company's cash flow to fund capital expenditures and $600 million on acquisition and foreign bonuses. These items amounted to $3.2 billion of cash used. We also used $794 million to pay dividends. In the third quarter, we used $691 million to retire senior debt maturities, which was funded from the second quarter issuance of $750 million of senior notes due in 2016. These and other net cash outflows decreased our $1.8 billion cash balance at the end of last year by $200 million to $1.6 billion at the end of this past quarter. Third quarter free cash flows after capital spending, dividends and taxes, but before financing and acquisition activities was about $700 million. As a result of the reduction in debt in the third quarter, debt to cap ratio came down to 9%, which is the same level we reported last year. The weighted average basic shares outstanding for the nine months 811.1 million and weighted average diluted shares were 813.9 million. As we look ahead in the current quarter, we expect oil and gas sales volumes to increase to about 650,000 to 660,000 BOE a day at around current oil prices. The fourth quarter production is expected to reflect increases from California, Argentina and the Middle East/North Africa. With regard to price, at current prices, $1 a barrel change in oil prices impacts oil and gas quarterly earnings before income taxes by about $39 million. The average third quarter WTI oil price was $68.30. The NYMEX gas price is $3.60 per MCF. A swing of $0.50 per million BTUs in domestic gas prices has a $23 million impact in quarterly earnings before income taxes. The current NYMEX gas price is around $5 per MCF. Additionally, we expect exploration expense to be about $100 million for seismic and drilling for our exploration programs. For the chemical segment, we expect continued weakness in US housing, automotive and durable goods sectors in the fourth quarter. The fourth quarter is traditionally the weakest quarter for this business. Chemical earnings in the fourth quarter are expected to be between $20 million to $40 million as opposed to breakeven level we had estimated last quarter. We expect increases in chlorine, caustic soda, and polyvinyl chloride prices. These increases are not expected to fully offset the higher feedstock and energy costs. We expect our combined worldwide tax rate for the fourth quarter to be in the range of 40% to 42% depending on our split between domestic and foreign sources of income. Our third quarter US and foreign tax rates are included in the investor relations supplement. Turning now to acquisitions, last month we announced the acquisition of Phibro from Citicorp for price that approximates the liquidation value of Phibro’s assets. As of the most recent information, the vast majority of Phibro’s assets consist of cash and marketable securities. The exact amount of the purchase price will be determined at closing, which is expected this quarter. We expect our investment in Phibro will average about $250 million depending on our cash needs from time to time. They will operate as a standalone entity. All our current trading operations will continue selling our physical production. Our policies on hedging and risk management, or physical production remains unchanged. Phibro has an extensive system of risk controls, which will be overseen by Occidental employees. The quality of Phibro’s risk controls and management can be seen by a lack of any losing years since 1997 when they were bought by Citi. With time, we expect to use Phibro’s excellent reputation in the Middle East and elsewhere to enhance our position in the region. Property acquisition activity has picked up recently. We expect to close several hundred million dollars of property acquisitions in the fourth quarter. Turning now to California exploration. Excluding the Kern County discovery discussed in last quarter’s conference call, over the course of a little over a year, we have drilled 34 exploration wells seeking non-traditional hydrocarbon zones in California. Of these wells, 11 are commercial and 10 are currently being evaluated. We expect to drill an additional seven exploration wells this year. OXY holds $1.1 million acres net of fee minerals in leasehold in California, which had been acquired in the last few years to exploit these opportunities. Discoveries similar to the Kern County discovery are possible in this net acreage position. Additionally, we will continue to pursue shale production which is expected to produce oil on this acreage. Kern County discovery, which is near Elk Hills is not below any producing zones. In this area, we are currently producing some 10 wells, approximately 105 million cubic feet of gas a day and 8,500 barrels of liquids a day, which is 8,700 BOE a day higher than production than we disclosed last quarter. Cumulative gross production since we started production to the end of September has been 8.5 BCF of gas and 765,000 barrels of liquids. All of these productions come from conventional zones. While there is oil production from shale zones in this area, the bulk of the future production will come from conventional wells. During 2009, we expect to drill additional 11 wells. In the next two quarters, the focus of our drilling will be on oil wells as we seek to further define the oil zone. Copies this press release and other quarterly earnings are available on our Web site or through the SEC's Edgar System. We are now ready to take your questions.
Operator: (Operator instructions) And your first question comes from Robert Kessler of Simmons.
Robert Kessler – Simmons & Company International: Good morning gentlemen. I wanted to see if you could elaborate on a few things with respect to your Kern County activity. One being on Elk Hills, you have disclosed previously that you're going to bump up against some processing capacity limits that. Can you update us with respect to the timing of expansion and the likely cost? And at what point might we start to flatten out in terms of the California production growth as that becomes the bottleneck or can you keep growing for the next few quarters without that being limiting factor?
Bill Albrecht: We still have some more room in our facilities in gas currently. At the current rate of growth obviously, we will probably going to run out sometime. But they have plans to bring skid mount facilities to handle the gas. There was a slowing down some of the less economic activities in the Elk Hills area to create more room for this. We don't have any idea. We can’t say how big the facility is at this point, since we still have fair number of unknowns about how much gas we are going to make the process. So that's part of one delay as we just don’t know how big a plant to build. The numbers we told you last week maybe a little. So I think what we are as far as the growth that we would expect continued growth for a few more quarters. We just don't know at this point where it's going to wind up. It continues to do extremely well.
Robert Kessler – Simmons & Company International: Sure. And then as you shift your focus more towards the oily – of the wells, you’ve been on course around two thirds gas so far. In expectation for average well productivity. It's been quite strong with the gas related well. Do expect a similar rate of production on, say, barrels oil equivalent basis even with the oily this?
Bill Albrecht: The oil zone is fundamentally less – has less permeability than in the gas zone. Gas zone is a very permeable zone. The oil zone is a little less, but again, of course you're getting a little more money for the going on a BOE basis than you get for gas. So, it probably will turn out to be more economic to drill oil wells right now than the gas wells. But the gas wells are very prolific as you can see. We could probably lose the production in the gas wells even further from existing wells if we let it – if we open it up further.
Robert Kessler – Simmons & Company International: Sure. Can I pin you down on number in terms of barrels per day from an oil well in that area?
Bill Albrecht: It varies considerably. We have some things that are making several thousand a day of oil, some wells that are less productive. So, few hundred barrels a day. So that's a fair amount of variation between well. And actually be a focusing on it over the next couple quarters so we can figure out what the better part are. It's a little more complicated than the gas zone, which is fairly easy to engineer.
Robert Kessler – Simmons & Company International: Okay. Thanks for the color.
Operator: Your next question comes from Mike Jacobs with Tudor Pickering Holt.
Mike Jacobs – Tudor Pickering Holt: Good morning everyone.
Ray Irani: Good morning.
Mike Jacobs – Tudor Pickering Holt: Just wanted to follow up on the last line of questions on the Kern County. Last quarter you disclosed the resource estimate of 150 million barrels to 250 million barrels from six wells. And as you have delineated the field with four additional wells, how big do you think the resource could be today?
Steve Jason: I don’t want to go into reengineering every quarter. You got the wrong conference call I think. So, I think we will hold with this range for now and will update you as the rest of the year progresses.
Mike Jacobs – Tudor Pickering Holt: And as you continue to step out are you seeing pretty consistent well productivity or results tapering off a bit?
Steve Jason: The gas well is continuing to perform – the gas condensate wells continue to perform extremely well. And so we don’t see any tapering there. Oil, a little more variable, but that was well built into our models. So I don't see any reason to monkey with the estimates at this point.
Mike Jacobs – Tudor Pickering Holt: And just moving to the Permian, over the last couple of quarters to spent less and less capital, but this quarter you saw a sequential uptick in production. I doing anything differently in the Permian or have you been able to selectively add producing properties over the last six months?
Steve Jason: We’ve added some properties. Capital has been deployed little more efficiently. So I think we're getting clearly more bang for our buck. And I think some of this you are seeing is a result of last year’s program, it’s started flowing through. So I think you've got a more selective investment this year, a little bit of acquisitions, and something from last year. Bill might add some more color.
Bill Albrecht: One other thing I would like to add to that this, we've increased of a CO2 purchases by about 100 million a day or so and we are starting to see some additional response from our increased CO2 injections.
Mike Jacobs – Tudor Pickering Holt: It’s good color. Thank you. Just one last follow, when you talked earlier, Steve, about making further acquisitions, is that also in the Permian or can you give us a little bit of context where?
Steve Jason: There are some deals that we’ve agreed to and some that are still in the advanced tighter kicking phase. So there is no real call at this point. We just want to lurch into fact that the activity had picked up, and that’s in our traditional areas. So it’s basically would be California and the Permian.
Mike Jacobs – Tudor Pickering Holt: Great, thank you.
Operator: Your question comes from Paul Sankey with Deutsche Bank.
Paul Sankey – Deutsche Bank Securities: Hi, good morning.
Steve Jason: Good morning.
Paul Sankey – Deutsche Bank Securities: You’ve got a few things here that increase your volumes outlook, I guess. And ask you a couple of the specifics about the Middle East and then a more general one. The specifics you said, I think 30,000 a day in Bahrain to 100,000, but didn't give the timeframe. And then you also mentioned Iraq to 1 million gross over the next six years. I wondered when you expected the first oil there. And the one item, more general question is will you be upgrading your volume forecast. I think you're up 5% to 8% guidance. I wondered if there was output pressure on those numbers based on what you are saying today.
Ray Irani: Let’s start one by one. With regards to Bahrain, you will see production next year starting in January, actually. So there will be production showing up from Bahrain in 2010 and increasing over time as we develop the fields. So that’s one. With regards to the Iraq development, it is going to be in fast track. We haven't it signed the agreement totally. So we have to get the agreement button-down. The agreement has to be approved by the Council of Ministers and then by Parliament. While we don't expect in any of those a problem, but you know, when you're dealing with any kind of government, particularly in a place like Iraq we can't predict what exactly is going to happen. We are anxious to move ahead. They need the money oversimplified because the US cannot just keep banking the Iraqi government, either their social programs or in their defense and security agencies. So we talked about over the next six years, because we didn't want to get into, yet predicting quarter by quarter what's going to happen. So I doubt that you're going to see any meaningful production out of here showing up on OXY next year. But I think in 2011, you'll start seeing and it will build up.
Paul Sankey – Deutsche Bank Securities: Great. And then the overall one target, I believe this 5% to 8% gross –
Steve Jason: I think we will stay with the 5% to 8% overall target for now. We will, as we develop, our plans to the next couple years we will update you probably the next quarter as to where we think we are going next couple of years.
Paul Sankey – Deutsche Bank Securities: Great. And then my second, if I could, just wondering about Phibro, how is that going to appear in the earnings? Is it going to be that the realization? Is it going to be better realizations? Is it going to be corporate and other?
Steve Jason: No, it’s going to go in midstream.
Paul Sankey – Deutsche Bank Securities: So it will be hidden within the midstream results?
Steve Jason: I think that that is not probably the right word placed in there. It is the same – there is a fair amount of volatility in midstream already. But it's certainly not a corporate and other item.
Paul Sankey – Deutsche Bank Securities: Do you have a guesstimate as to what we should be putting in a quarterly basis?
Steve Jason: You know, if I were – without being – I really don't know. But I would put in sort of $100 million after-tax per year.
Paul Sankey – Deutsche Bank Securities: Per year?
Steve Jason: Yes.
Paul Sankey – Deutsche Bank Securities: Okay.
Steve Jason: There is going to be more quarterly volatility, but that segment already has got its share.
Paul Sankey – Deutsche Bank Securities: And I guess the guidance or least the fact of what they've earned over past five years was more like – and I think it was 375 million.
Steve Jason: I'm not really predicting it. I'm just saying that if I were in your shoes what number would I put in there is sort of a safe number.
Paul Sankey – Deutsche Bank Securities:
Operator: Your next question comes from Arjun Murti with Goldman Sachs.
Arjun Murti – Goldman Sachs: Thank you. Just a follow-up on Iraq. I believe you said $4.2 billion barrels opportunity. Give an estimated CapEx, either gross or net, to get those reserves.
Ray Irani: Well, first of all, this is a production sharing agreement, Arjun. And if you look over the life of the contract you know, you get large numbers. The way the contract is, which I don't want to go into great detail, the good feature on cost recovery in the beginning of the contract. So after the exposure in terms of risk capital is fairly limited. And as we said, it's a multi-phase project. So we will be learning as we go on. But it does have a good cost recovery in it, and most important I can tell you that the project, we believe, we meet our hurdle rate in terms of rate of return. Anyway you want to look at it – return on capital employed. Iraq as we have said before, is a huge basin. We've got one of the most productive fields. Few companies mostly larger than us are in there. BP, as you know, they are in. There are others vying for West Qurna. And we feel that our participation in Iraq will be useful and profitable for the company and its shareholders long-term.
Arjun Murti – Goldman Sachs: Dr. Irani, thank you for the color. It is an existing producing field, as you mentioned, and the cost recovery in a production sharing contract, that's very interesting that this has that. I assume because it is producing, you would get to initially get some production and cash flow, unlike many fields where you have to wait four or five years for the CapEx to be spent on the production to come on. And I assume, it’s the increment over what it is producing now.
Ray Irani: You get the cost recovery from production above the current production. You can't take something that's producing already. But the fact is, I mean, when we say over 4.2 billion barrels in total we believe that is more and that our love opportunities, I mean this is the heart of the oil fields in Iraq, close to exports. It's right next to the Southern Oil Company, which is currently doing most of the production and operated by the Iraqis. It would be cooperating with that and the cost recovery feature and the tax rate, which has been improved, makes this project attractive. Just the reserves and the opportunities long-term our overwhelming and we see that we will participate without undue risk.
Arjun Murti – Goldman Sachs: That’s really helpful. If I can try to find one, you’ve already have been very helpful, and I appreciate it. The press will widely report that companies will get paid two or somewhere around $2 a barrel, should we think of that as more – the profit oil type per barrel metric and there's a cost recover measure, or is that just mixing up a whole bunch of terms.
Ray Irani: I really don't want to get into the details of all of that. Clearly we know what we are negotiating from. All I want to share with you, the project will meet our hurdle rate for projects overseas.
Arjun Murti – Goldman Sachs: That’s really helpful. Thank you very much.
Operator: Your next question comes from Doug Leggate with Merrill Lynch.
Doug Leggate – Merrill Lynch: Good morning, everybody.
Steve Jason: Merrill Lynch?
Doug Leggate – Merrill Lynch: Yes, it’s hard to keep up with nowadays.
Steve Jason: Yes, it’s hard, you have to send me a schedule.
Doug Leggate – Merrill Lynch: Couple questions, Steve. I’m going to kick off with a right, just a follow-on from margin, if I may. The CapEx budget that’s been talked about, $10 billion in the first six years is what Eni is talking about? You haven’t said what your share of that's likely to be. Can you give us an idea?
Steve Jason:
Ray Irani:
.:
Doug Leggate – Merrill Lynch: So maybe dollar is going to be part of this project as well Dr. Ray?
Ray Irani: Pardon me.
Doug Leggate – Merrill Lynch: Maybe dollar is going to be involved in this project as well.
Ray Irani: Yes, we have had discussions with Abu Dhabi, and it’s too early to put color on it. But Abu Dhabi said they will take any percentage that we would be willing to share with them.
Doug Leggate – Merrill Lynch: Great.
Ray Irani:
Doug Leggate – Merrill Lynch: If I could jump over the California – in the last conference call you suggested, Steve, that you hadn't yet seen any decline rate on the wells. Is that still the case?
Steve Jason: Yes.
Doug Leggate – Merrill Lynch:
Steve Jason: That’s right.
Doug Leggate – Merrill Lynch: Can we take from that, and you've also said it’s outside of Kern County, or the existing discovery, rather. Can we take from that, then there are already additional discoveries over and above the 150 out of 250 range that you have given us?
Steve Jason: Yes.
Doug Leggate – Merrill Lynch: Okay. Just wanted to check, and finally –
Steve Jason: We write these things deliberately. I know it looks random.
Doug Leggate – Merrill Lynch:
Steve Jason: We cannot really. It still early on them. They're clearly not the magnitude of this and so we're announcing 10 million barrel discovery. So I think we will put off doing that until later.
Doug Leggate – Merrill Lynch:
Ray Irani: Bahrain you are talking about?
Doug Leggate – Merrill Lynch: Yes.
Ray Irani: You will be happy to know that I have to go to the Formula One races in Abu Dhabi at the end of the month, end of next week, the King of Bahrain will be there, the crown prince, of course all the interested people in Formula One will be there from the region. But the returns in Bahrain are attractive. Again, as you would recall, the partners OXY 48%, Mubadala Abu Dhabi, 32%, government of Bahrain is 20%. Production sharing agreement fees for current production, PSA for production above the current production, I'm telling you that their terms will be a factor.
Doug Leggate – Merrill Lynch: Okay. That’s a tremendous –
Steve Jason:
Doug Leggate – Merrill Lynch: Okay. All right.
Steve Jason: The way I would look at it as a return on investment for now.
Doug Leggate – Merrill Lynch: Okay. That’s very clear. Thanks, Steve.
Operator: Your next question comes from Pavel with Raymond James.
Pavel Molchanov – Raymond James: Thanks very much. You mentioned several hundred million dollars of property acquisitions for Q4. Can you talk about what geographies are? And secondly, have you signed any agreements or are you just anticipating closing those deals down the road?
Steve Jason: I think we said earlier that they're in the traditional areas in the United States, so it will be California and the Permian would be normally where we brought. I think some of them have been agreed to and others are in the advanced tire kicking phase, so that’s why we didn’t say exactly where it was. I said it was a range. So –
Pavel Molchanov – Raymond James: Thank you for that. And can you mentioned, is this currently producing properties or is it undeveloped acreage.
Steve Jason: Generally we buy things that are combinations, in other words, they have production and other opportunities on. We are not just interested in buying just production.
Pavel Molchanov – Raymond James: Got it. Thanks very much.
Operator: Your next question comes from Faisel Khan of Citigroup.
Faisel Khan – Citigroup: Good morning.
Steve Jason: Good morning.
Faisel Khan – Citigroup: Wonder if you can give us an update on your activities in Libya, some of the drilling activities you have going on over there. Are you still continuing to invest capital there or is that going to slow down a little bit?
Steve Jason: Sandy, why don’t you – the exploration program – I'll do the exploration and Sandy can talk about the development activities. In exploration, we are in the seismic phase now. Not much drilling. We expect to pick up the drilling at the end – early in the next year. So exploration activities are really in defining prospects. Sandy can talk about the development activities.
Sandy Lowe: Yes, thank you. Steve. At the moment, we are still in the process of having our development plans negotiated and approved. So we expect to have that in the middle of next year. As Steve points, most of the activity at the moment is getting ready for next exploration.
Faisel Khan – Citigroup: Got you. And then just you also talked about wrapping up I guess in the Piceance Basin next year. Can you talk about the economics you are seeing there? Are you looking at the forward curve or you are looking at kind of lower cost structures in that basin?
Steve Jason: Well, we are going to complete the wells that we already drilled and they'll be on early next year. Based on the current, call it the forward curve, if you will, we would probably take one rig up early next year and begin actually drilling wells early next year. If the curve holds, we'll put a second well, second rig to work in the middle next year. So we think that while we're not as buoyant as some about gas, what gas prices, the gas market, the current curve would allow us to drill profitably in the Piceance. We reduced costs considerably in the last few months as we've been down so we worked on that to see if we can get our operating cost down. I think we’ve been successful with that. Our drilling costs have come down with more efficient rigs that we have there. So I think we are in pretty good shape, but obviously $4 gas is not a – doesn't work at $4 gas but as we pass $5 and get to $6, I think we're excited about the opportunities there. It should be a fair amount of production next year.
Faisel Khan – Citigroup: Okay. Great. And then just on the California for a second, you said the current discoveries in Kern County are not producing below a current zone that you are producing out of. Can you remind us what the lowest producing zone is in terms of depth?
Steve Jason: (inaudible) 7,000 to 8,000 feet.
Faisel Khan – Citigroup: Great. Thanks. I appreciate the time.
Operator: Your next question comes from Doug Terreson of ISI Group.
Doug Terreson – ISI Group: Hi guys. How are you?
Steve Jason: Nice to hear from your again.
Doug Terreson – ISI Group: Well, thank you. Good to hear from you too. So I just had a couple of questions on Bahrain. First, whether or not $1.5 billion of gross investment is still the relevant figure? And I might have missed; I think that Ray mentioned what he thought production might be and timing so if you could just repeat that if he's already said it, I would appreciate it.
Steve Jason: The investment numbers we gave you are still right.
Doug Terreson – ISI Group: Okay, good.
Steve Jason:
Ray Irani: We can have huge numbers if you look, but we're trying to give you the first five years because clearly doing that kind of time periods and when we talk about Iraq, whatever investments we make we will turn cash positive during that period. And so –
Steve Jason: In Bahrain?
Ray Irani: Yes.
Steve Jason: So, I think on that we haven’t really given the details of the production growth because we haven’t started yet. So I think we would give Sandy just a little time to figure those out.
Doug Terreson – ISI Group:
Steve Jason: Thank you. Good to hear from you.
Operator: Our next question comes from Monroe Helm of CM Energy Partners.
Monroe Helm – CM Energy Partners: My questions on Iraq have pretty much been answered. Maybe you could tell us what you think were the advantages you brought to the party that got you a position in Iraq relative to the other competition.
Ray Irani: Ours is a very strong position in the Middle East, you know, if you fly to Baghdad, which I did recently you can see it doesn’t take long to fly from Baghdad to Oman or Abu Dhabi or any of those other places. We have a strong position. We have performed in every country we have taken and so very strong operational record that we have. Sandy who is on the phone with me has done a fantastic job. The Iraqis are very interested in having a production increase fast, of course that depends on the security situation and many other things. So, frankly, it's just our record in the region.
Steve Jason: We are in the enhanced oil recovery business. That's sort of what we do. So as far as the project itself is concerned putting aside anything else this is sort of what we do. We say we are in the Middle East, we say we don’t take exploration risks. There is no exploration risk. We do, say we take engineering risk, which is to say – we think it is going to cost $100, it can cost $200. But we think this is manageable there. So it is sort of what we do. And it is a big opportunity over time and I think the exposure here is modest for the company. And if it craters exposure is pretty low. So I think if you just viewed it as exploration it would be an attractive risk return ratio.
Monroe Helm – CM Energy Partners: All right. Just following up on that real quick, all the ownership interests haven't been determined, has the operatorship been determined and how do you anticipate working with these other companies since you pay better than the rest.
Steve Jason:
– :
Sandy Lowe: The joint venture agreement has not been finally negotiated yet. But we are in the – Eni is the leader of the consortium and the Iraqi South Oil Company is involved heavily. And we are actually meeting next week to finalize the joint operating agreement. We have joint operating agreements in Bahrain. We have it with Dolphin. And we have multiple partners in Oman. So, this is I think new for us and we are very actively cooperative partner. And we expect to be serving Iraq.
Monroe Helm – CM Energy Partners: Okay. Thanks for your answers.
Steve Jason: Thanks, Monroe.
Operator: (Operator instructions) And your next question comes from Bob Morse [ph] of Citigroup.
Bob Morse – Citigroup: Good morning, Steve.
Steve Jason: Good morning.
Bob Morse – Citigroup: Question on – are you active there now?
Steve Jason: Are you active there now?
Bob Morris – Citigroup: Well, we're getting active. I've got a pulse, so not have the coverage.
Ray Irani: I know you still had a pulse.
Bob Morris – Citigroup: In Kern County, how many rigs are you running in that discovery area that have drilled those 10 well?
Steve Jason: Bill Albrecht?
Bill Albrecht: Thanks, Steve. Right now we're running two.
Bob Morris – Citigroup: Two rigs?
Bill Albrecht: Two rig.
Steve Jason: For this kind of drilling.
Bob Morris – Citigroup: Okay and I know you said that going forward you would focus on the oil shales. But –
Steve Chazen: No, no, not the oil shales. Oil zone. You can view the production there as in three pieces at this point. An oil zone, a gas condensate zone, and then the shales. We are not talking about the shales because compared to the rest, it's – while it's real nice, compared to the rest it doesn't have the kind of impact. So classic oil zone, a gas – classic actually gas condensate zone, and the shales.
Bob Morris – Citigroup: Okay. And in focusing on the oil zone, you've had pretty robust production from the gas zones, you mentioned economics on those economics on those nice quarter. Is there any reason why you wouldn't dedicate one of those rigs or add another rig to continue to drill on the gas zone given the strong economics there?
Steve Chazen: We're drilling another gas well, as we look to extend the size of the field, the aerial extent that we believe is there. The oil is really – we know the gas is there, so the oil is really more profitable right now. And there's no hurry. The gas isn't really going anywhere.
Bob Morris – Citigroup: Okay.
Steve Chazen: Is been there for millennia, so I suspect it will last for another six months. The wells are draining – are pulling a sizable area without any decline. So we are really in not in any real hurry on the gas. But we are continuing to build out that – the gas zone to see how big it is. We need to figure out how big a plant to build.
Bob Morris – Citigroup: Right. So you plan on just maintaining the two rig programs for now?
Steve Chazen: Maybe. We may add a third rig.
Bob Morris – Citigroup: Okay. All right. Great. Thank you.
Operator: Our next question comes from David Wheeler of AllianceBernstein.
David Wheeler – AllianceBernstein: Good morning.
Steve Chazen: Good morning.
David Wheeler – AllianceBernstein: I just wanted to follow up on the California. I recognize that the conventional discoveries are the priority near term. But I wanted to get a little bit more color on the shale zone. Have you over the past three quarters drilling become more positive regarding the prospectivity of that play? It sounds like you may, given some of the comments on the slides. What economics – or what oil price is required to make the shale play out there viable?
Steve Chazen: I don’t think it has really changed. We've always been pretty positive. The drilling results sit well with our models. So I don’t think so. I don’t think – we've always been fairly bullish about it. So I don't – initially that's why we went into the big acreage position was really for the shales. What oil price, I don't really know, $25.
Ray Irani: Certainly at current prices. It’s very profitable.
Steve Chazen: It doesn't cost that much to drill and they are reasonably productive. It's is hard to say what the exact oil price is. Remember, most of this, there is no royalty either. So you wind up with pretty good economics. So I mean, I wouldn't worry about us losing some for price. But I think that it's just a matter of how fast you want to develop it. And also, looking out for acreage position to make sure we acquired everything that we need to acquire as we go.
David Wheeler – AllianceBernstein: Okay. And on the conventional play, you mentioned that some of the additional discoveries have been smaller. Are there – I guess it's hard to identify prospects on seismic in this play, but do you anticipate drilling any larger prospects?
Steve Chazen: Just takes a while to clear, to get your permits and that sort of thing because we didn't really start the permitting process until recently. It just takes longer to get ready. So there really isn't any real order to it. We're looking for more of this, and we will continue to do that. And we'll drill them when we get the permits, we're ready to go. We don't want to talk about a well being drilled in the fourth quarter, and call next quarter saying how was the well.
David Wheeler – AllianceBernstein: Thank you.
Steve Chazen: Thanks.
Operator: Your next question comes from Kate Lucas of Collins Stewart.
Kate Lucas – Collins Stewart: Hi, good morning.
Steve Chazen: Good morning.
Kate Lucas – Collins Stewart: I just have a quick question about Libya, just following up. You mentioned that currently your development plans are still being approved. And I am wondering as you think about your overall position in Libya, are you comfortable with your current position as it is? Or if an opportunity came up to grow your presence via acquisition, would that be something you would entertain as well.
Ray Irani: No, we're not looking for acquisitions in Libya. And as we have said, the development portion of it has been slower than expected, because the government has not been speedy in its allocating resources to the whole oil sector.
Steve Chazen: It’s very difficult to acquire in Libya.
Kate Lucas – Collins Stewart: Okay.
Steve Chazen: I mean, if you even thought about it, remember, they went through this thing with the Canadian Company, so it's not like buying stuff in West Texas, by any stretch of the imagination.
Kate Lucas – Collins Stewart: Okay. Great. And then if I could just quickly, as a point of clarification – the increase to your CapEx budget, and then the several hundred millions of acquisitions expected in the fourth quarter. The acquisitions are increment to the increase in CapEx, is that correct?
Steve Chazen: Yes, CapEx is drilling in that sort of activity acquisition. Acquisitions are acquisitions.
Kate Lucas – Collins Stewart: Great. Okay. Thanks very much.
Steve Chazen: Thank you.
Operator: (Operator instructions) And you have a follow up question from Monroe Helm of CM Energy Partners.
Monroe Helm – CM Energy Partners: I apologize if you've already addressed this, because I got on the call a little bit late and I haven’t seen the slides.
Steve Chazen: I hope you don't give me the cold.
Monroe Helm – CM Energy Partners: Could you talk a little bit about the strategy behind acquiring Phibro. Are you going to utilize them to get more aggressive in hedging your own production? Or I know you bought it on the cheap, but what's really the – what really do you hope it to do for your company going forward. What's the main attraction?
Steve Chazen: I think there are two attractions. One it's obviously very profitable business. We like profits. The second point is that we're not going to hedge. Our base – our current production is essentially unhedged and will stay that way. They're not really hedgers, actually. Never goes short so I don't know how you would be a hedger without ever going short. So I think what he does is looks for opportunities to trade, to gain advantages. He's a fundamentalist, looks for opportunities to make small gains or even large gains. It’s going to be a standalone operation for quite a while, until we figure out, to see how it goes. They do have a superb reputation, especially in the Middle East. And so we see opportunities there to make – to use their name and their skills to help us get more business there and that’s really the – if you want to think of the strategic part of it, that's it. That's going to take a while. We've got a lot of calls from people in the Middle East that are interested in meeting with them, and talking about trading. Remember, they're sort of an independent trader unlike a BP or something which uses the oil. So I think it will put some advantages, but it's basically for the money.
Monroe Helm – CM Energy Partners: Okay. Thanks again for your answers and congratulations on the Iraqi deal.
Steve Chazen: Thanks.
Operator: Your next question comes from Mark Caruso of Millennium Partners.
Mark Caruso – Millennium Partners: Goods afternoon, guys. Just a quick clarification. Did I miss the – did you quantify the actual dollar amount for the property acquisitions.
Steve Chazen: No. We said several hundred million dollars.
Mark Caruso – Millennium Partners: Okay. The second, is another large company in the space has talked having some packages available. Some stuff is in your backyard. And there's also some other projects in the Middle East, and I just didn't know if there is something that would interest you, or you guys are going to stick with sort of the core area as you sort of look around?
Steve Chazen: We look at lots of things, practically everything. And so you should expect that we'll stay with our core area, and not do something out of the core areas. But we look at lots of things and whether they have packages in the Permian, certainly looking at a Permian or California packages, if there was a package that worked for us in Iraq we might look at that. We look at lots of stuff to get some idea in the market. I don't think I would read much into all that.
Mark Caruso – Millennium Partners: Great, thanks.
Operator: Thank you. At this time, there are no further questions. Mr. Stavros, are there any closing remarks?
Chris Stavros: Thank you all for joining us on the call this morning, and if you have any follow up questions, please call us in New York. Thanks very much.
Operator: Thank you. This does conclude today’s conference call. You may now disconnect.